Operator: Good morning, and welcome to Kinsale Capital Group's Second Quarter 2025 Earnings Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. Before we get started, let me remind everyone that through the course of the teleconference, Kinsale's management may make comments that reflect their intentions, beliefs and expectations for the future. As always, these forward-looking statements are subject to certain risk factors, which could cause actual results to differ materially. These risk factors are listed in the company's various SEC filings, including the 2024 annual report on Form 10-K, which should be reviewed carefully. The company has furnished a Form 8-K with the Securities and Exchange Commission that contains the press release announcing its second quarter results. Kinsale's management may also reference certain non-GAAP financial measures in the call today. A reconciliation of GAAP to these measures can be found in the press release, which is available at the company's website at www.kinsalecapitalgroup.com. I will now turn the conference over to Kinsale's Chairman and CEO, Mr. Michael Kehoe. Please go ahead, sir.
Michael Patrick Kehoe: Thank you, operator, and good morning, everyone. Bryan Petrucelli, our CFO; and Brian Haney, our President and COO are both joining me on the call this morning. In the second quarter of 2025, Kinsale's operating earnings per share increased by 27.5% and gross written premium grew by 4.9% over the second quarter of 2024. For the quarter, the company posted a combined ratio of 75.8% and a 6-month operating return on equity of 24.7%. Our book value per share increased by 16% since the year-end 2024. In both hard markets and soft, Kinsale's differentiated strategy and execution allow us to drive both profit and growth. We focus on small E&S accounts. We maintain absolute control over our underwriting. We provide exceptional customer service and offer the broadest risk appetite in the business. We have advanced technology and no legacy software, a strong emphasis on data and analytics. And by far, we have the lowest costs in the industry. This strategy and the skill and experience of our almost 700 full-time employees give us confidence in our prospects for both profitability and growth in the years ahead in all types of market environments. The E&S market in the second quarter was consistent with the first quarter. Overall, it is a competitive market with the level of competition varying quite a bit from one industry segment to another. Our Commercial Property division saw premium drop by 16.8% in the second quarter due to high levels of competition and rate declines. Absent this division, Kinsale's premium grew by 14.3% in the second quarter. Brian Haney will offer some more in-depth commentary on the market here in a moment. We renewed our reinsurance program on June 1. Given the strong returns we have generated for our reinsurers over many years, the overall program was slightly more favorable for Kinsale upon renewal. Some of the modest changes in the program include a $3 million retention on our casualty treaty, up from a $2.5 million retention on the expiring. On our commercial -- on our property quota share contract, the ceding commission we received from reinsurers increased slightly, reflecting favorable historical results and our retention increased to 60% from 50% on the expiring program. On the catastrophe excess of loss treaty, we increased our retention from $60 million to $75 million and purchase some additional limit at the top of the tower. As we have stated many times over the years, we endeavor to post loss reserves with some measure of conservatism, so that they are more likely to develop favorably than unfavorably over time. Our 16-year track record bears out our commitment to cautious reserving and building a strong balance sheet. At a time when there are substantial questions around the reserve adequacy of the broader P&C industry, it's important for investors in Kinsale to know that our loss reserves have never been more conservatively stated than they are right now. And with that, I'll turn the call over to Bryan Petrucelli.
Bryan Paul Petrucelli: Thanks, Mike. Again, just another strong quarter with net income and net operating earnings increasing by 44.9% and 27.4%, respectively. The 75.8% combined ratio for the quarter included 3.9 points from net favorable prior year loss reserve development compared to 2.8 points last year with less than 1 point in cat losses this year compared to 1 point in Q2 of 2024. As Mike mentioned, we continue to take a cautious approach to releasing reserves. We produced a 20.7% expense ratio in the second quarter compared to 21.1% last year. The expense ratio continues to benefit from ceding commissions generated on the company's casualty and commercial property quota share reinsurance agreements and from the company's intense focus on managing expenses on a daily basis. On the investment side, net investment income increased by 29.6% in the second quarter over last year as a result of continued growth in the investment portfolio generated from strong operating cash flows. Kinsale's float mostly on paid losses and unearned premium grew to $2.9 billion at June 30 of this year, up from $2.5 billion at the end of 2024. Annualized gross return was 4.3% for the first half of the year and consistent with last year. Other than the modest increase in the allocation of common stock that we mentioned last quarter, we haven't made any significant changes to our investment strategy and continue to monitor inflation, interest rates and related Fed policy commentary and will adjust as circumstances change. New money yields are averaging in the low to mid-5% range with an average duration of 3.1 years. And lastly, diluted operating earnings per share continues to improve and was $4.78 per share for the quarter compared to $3.75 per share for the second quarter of 2024. And with that, I'll pass it over to Brian Haney.
Brian Donald Haney: Thanks, Bryan. The E&S market remains competitive, though the intensity varies by division. We're seeing robust premium growth in small business property, high-value homeowners, commercial auto, entertainment and general casualty. Meanwhile, commercial property, construction, life sciences and management liability are facing tougher competition and in some cases, declining premiums. The market is clearly more competitive than a year ago. However, much of the aggressive pricing is coming from MGAs and front- end companies. While there are some highly regarded MGAs out there with long track records of success, the model as a whole is challenged by a misalignment of interest. Some front-end companies are posting unsustainable gross loss ratios of 100% or higher signaling capital destruction. Notably on our largest reserve line, other liability occurrence, the top 6 E&S fronting carriers are projecting 2024 gross loss ratios well below ours despite consistently worse experience in older accident years and consistently worse loss development. Either they, as a group, have experienced a miraculous turnaround where they are under reserving. Eventually, loss reserves turn into paid claims and posting inadequate reserves only pushes the problem down the road for a time. The situation is reminiscent on a smaller scale of the mortgage crisis of 2008 where you had a misalignment of interest between the originators and barriers of risk, which resulted in a fundamental mispricing of that risk. Given the size of the problem, this will not be as significant for the economy as the mortgage crisis, but it will be very significant for the insurance industry and for some players in particular. And it's encouraging to us because ultimately, underreserving is a self- correcting problem. We continue expanding our product suite to capture market opportunity. In Q2, we broadened our agribusiness vertical to include property coverage and launched a new homeowners product in Texas, Louisiana, Colorado and California with more states on the way. Submission growth was 9% for the quarter, which is down slightly from the 10% in the first quarter. Our Commercial Property division experienced a decline in submissions, which depressed the company's overall submission growth rate. Without that, the submission growth rate would have been in the low double digits. Pricing trends aligned with the Amwins Index, which reported a 2.4% overall decrease. Commercial property, especially in Southeastern Wind zones was down 20%. Casualty pricing was mixed, but modestly positive. Some professional and management liability lines were slightly negative. Finally, we continue to be cautious around loss cost trends, headline inflation is above the Fed's 2% target. And with various our reserves. Overall, we remain optimistic. Our loss results are good. Our growth prospects are good. And as the low-cost provider in our space, we have a durable competitive advantage. And with that, I'll hand it back over to Mike.
Michael Patrick Kehoe: Thanks, Brian. Operator, we're ready for Q&A.
Operator: [Operator Instructions] Our first question comes from Andrew Kligerman from TD Cowen.
Andrew Scott Kligerman: [Technical Difficulty]
Michael Patrick Kehoe: Andrew, this is Mike. We've got a very poor connection, so we weren't able to understand your question. Do you want to try one more time?
Andrew Scott Kligerman: [Technical Difficulty]
Michael Patrick Kehoe: Operator, let's drop that call and just go to the next one.
Operator: Certainly, our next question comes from Michael Zaremski from BMO Capital Markets.
Unidentified Analyst: It's Dan on for Mike. Maybe first just on your longer-term growth target. One of your peers recently lowered their near-term growth target due to the heightened pricing environment competition? With 2 quarters below 10% to 20% that you've guided to, is there any thought to recalibrating the near-term number? Or is there still a belief in that 10% to 20% number?
Michael Patrick Kehoe: Yes. We don't offer a growth prospect because ultimately, we don't really know what that number is going to be. I think 10% to 20% over the course of the cycle is a -- it's a good faith estimate and it's actually, I think, a conservative one. I think one of the challenges of estimating the near-term growth is that there is going to be a fair amount of variability over the years. Right now, we're in a period of heightened competition that's most pronounced in our commercial property division, especially some of that business that's concentrated in larger southeastern wind accounts. That's where we're seeing kind of a big market correction. So we did report the fact that if you take the Commercial Property division out of it, we grew in the mid-teens. We think that's a really healthy number that showcases the competitiveness of our model. The accuracy of our underwriting, the market segment we focus on the fact that we operate at an enormous expense advantage over our competitors. So we're quite optimistic, but we're also realistic that near term, we've got some headwinds with competition. And maybe the last comment I'd make is that the year-over-year comparison in our Commercial Property division will be a little bit easier in the second half of the year than it was the first because we wrote a disproportionate amount of that business in the first half of last year. So we'll get a little bit of less of a headwind, if you will, on the -- I don't know if you call it, correction in the Commercial Property division.
Unidentified Analyst: That's helpful. And then switching gears to the underlying margin. Just with rates being negative in the first half of '25 and higher casualty mix. Can you just help us reconcile to source the underlying margin improvement year-over-year?
Michael Patrick Kehoe: Well, I mean there's -- we lay it all out in the release, right? It's the current accident year. I think the cat losses were down maybe...
Unidentified Analyst: Sorry, I just meant the underlying current accident year, yes.
Michael Patrick Kehoe: The current accident year is a composite of a variety of lines of business. I think kind of the general movement within that number would be, we continue to be very cautious around long-tail casualty. Brian Haney mentioned the fact that inflation is still higher than the Fed's target. I think longer-tail casualty lines are a little bit more exposed to that. So we're being conservative on the longer-tail casualty and to the extent that we're over performing, it's probably disproportionately due to our shorter tail lines like property, where the experience has been really quite compelling.
Operator: Our next question comes from Pablo Singzon from JPMorgan.
Pablo Augusto Serrano Singzon: First question I have is about the commercial property business. I was curious to get your sense of the positive gap between expected profitability and technical pricing today? Or put another way, right, how much do you think prices can drop before the market sort of throws up in hands and says this is as far as it will go. Any sort of sense you had around that?
Michael Patrick Kehoe: Yes. Pablo, this is Mike. I would just remind you that we write property coverage in a whole variety of different underwriting divisions or verticals within our company. The Commercial Property division specifically is where we're seeing the most intense competition. And it's not just rates dropping, although that's happening. It's also terms and conditions, line sizes and the like. So it's a whole mix of things. We also have a small property division. We write in the marine coverage. We write high-value homeowners. We have a regular homeowners book. So -- the other areas are much more attractive to us than in particular, the larger southeastern wind accounts. So it's a mix. But in terms of the where the market goes from here, we don't really have any kind of special insight into that.
Pablo Augusto Serrano Singzon: Okay. And then just switching to, I guess, capital right -- capital return. So with premium growth flowing from recent levels, right, I think even if you have seen some pickup from the recent trend, your ROE will just naturally decline, right? You're just going off like pretty high growth years and you're going to accumulate capital. Is there some ROE level where you might consider leaning more into capital return here?
Michael Patrick Kehoe: Yes, it's I think we expect our ROEs in the low to mid-20s or better. The returns are always a function of the pricing we get. It's loss cost trends. It's the amount of conservatism in our IBNR that drifts out over time, right? So there's a lot of things that goes into the returns. In terms of returning capital, it's something we look at every year, and we'll continue to adjust. But we want to maintain a healthy capital position, but we don't ever want to hold an excessive amount of redundant capital either. So right now, we address that in a very small way through the dividend and the share buybacks and we'll continue to evaluate that on a go-forward basis.
Operator: Our next question comes from Michael Phillips from Oppenheimer.
Michael Wayne Phillips: I wanted to get a little more color on -- I think it was Brian's comments on the pricing on the casualty side. I think you said mixed but positive. Can you provide a little more color on where you're seeing the mix, what you meant by that? And then maybe specifically, if you could drill down into the excess casualty book and specifically what you're seeing in pricing there?
Brian Donald Haney: Yes. I think some of the -- if you look at the casualty line, some of the higher return, lower growing lines like, let's say, product liability would be experiencing rate increases on the lower end or rate decreases and then some of the more longer tail lines, let's say, like construction or excess casualty would be at the higher end.
Michael Wayne Phillips: Okay. And then I guess sticking with construction, it's not the first time you've mentioned so much as actual adjustments on the reserves for construction defect and liability. I guess, can you say what you're seeing for trends there? What trends there and any certain geographies that are more conducive to kind of those adjustments you made?
Brian Donald Haney: I think a lot of the -- California used to be a very big state for us in construction, and we've kind of pivoted away from that. So I would say, to the extent that we were seeing abnormally high loss development that required some sort of adjustment, that's where we were seeing it. And so when we adjusted the loss development patterns, we also adjusted our rates and it resulted in us growing outside of California, which is good.
Michael Wayne Phillips: Okay. So your adjustments -- I'm sorry, your adjustments you made were because of the California book that you're seeing...
Brian Donald Haney: I was just giving you some color detail about what was going on within the construction book. Generally speaking, it was worse in California, where we were a little overconcentrated and are no longer overconcentrated.
Operator: Our next question comes from Bob Huang from Morgan Stanley.
Jian Huang: My question is on growth and specifically new business. Not sure if you touched this already, so apologies. Just curious how much of the premium growth for the quarter was driven by new business growth? And broadly speaking, I understand that we're facing challenges in property, but is there a way to think about the new business and the renewal business dynamics going forward? Are there lines of business that are more exciting than others? Just curious to your review on that.
Michael Patrick Kehoe: I don't think we have the stats in front of us to kind of bifurcate the growth between the renewal book and the new business book. But I would say, generally, it would probably be driven mostly by new business because the pricing environment we're in today, we're not seeing dramatic changes. And then what was the second part of the question was?
Jian Huang: Yes, just in terms of like if we think about just the growth going forward, is there any specific line of business where you think new business would be more exciting?
Michael Patrick Kehoe: Well, Brian Haney mentioned a whole series of underwriting divisions where we're still seeing very robust top line growth. And that typically correlates to a better pricing environment. And maybe a little more dislocation within the industry, et cetera. So entertainment high-value homeowners. We're rolling out a new homeowners product in a variety of states. Our small business property unit is still growing at a really good clip. I think the pricing there is favorable. It's -- we have -- there's a -- we're -- I guess we're still a boutique insurance company, but we've got a relatively broad product line, and we participate in a whole range of different industry segments. And it's just a good reminder. They don't all move in tandem. And in general, we feel generally positive about the market.
Jian Huang: Okay. I really appreciate that. Maybe just like one follow-up on that comment. Specifically homeowner, right? 2.7% of your total premium year-to-date is homeowner. You talked about the excitement of that going forward. Is that purely just driven by what's going on in California that's resulting in homeowner now growing? Like I'm guessing that business should be growing exponentially from here, does that change your 70-30 split on casualty and property going forward? Like how should I think about the growth trajectory there?
Michael Patrick Kehoe: Yes. Look, homeowners is a volatile line of business where the broader P&C industry has, I think, underwritten that business to a loss for like 5 or 7 years in a row. Historically, it's been mostly standard markets. I think there's now a shift where more of that business is coming into the E&S market. And so Kinsale is working hard to address the opportunity there. It's partly California, but it's partly in the Southeastern states, Texas around the Mid-Atlantic, driven by coastal wind, but as we -- as Brian, I think, mentioned earlier in his comments, we've also rolled out a new homeowners product in Colorado, for instance. So yes. I think we see that as a growing opportunity for the company in a whole range of different states. And I wouldn't expect any kind of near-term shift in the 70-30 split between casualty and property, but depending on how successful we are over the years ahead, it could shift a little bit.
Operator: Our next question comes from Andrew Andersen from Jefferies.
Andrew E. Andersen: Just looking at the OpEx ratio, it looks like it's been about 8% year-to-date. And I think you were doing some technology investments that I think have ended. So is that 8% kind of a good run rate for the near term?
Bryan Paul Petrucelli: Yes, I think that is.
Andrew E. Andersen: Okay. And if we look at the session ratio, it came in this quarter. And if we go back a few years, it was kind of in a mid-teens territory. Now that was before you were more -- writing more property business. So perhaps it's not going to go back towards the mid-teens, but should we be thinking about 17% kind of near term?
Michael Patrick Kehoe: I mean it's going to -- Andrew, this is Mike. It's going to depend on the mix of business, of course. When we renewed our reinsurance program, we took a little bit bigger net on the casualty and on the property, a little bit bigger cat retention. So the reinsurance program will result in a little bit of a shift to a lower ceding ratio. And then the rest of it is going to be mix of business over time. So -- to be honest, I don't have a number to give you, but you can just judgmentally expect it to maybe go down a bit.
Operator: Our next question comes from Joe Tumillo from Bank of America.
Joseph Thomas Tumillo: My first question is regarding the buying commit ratio. I believe historically, this has ranged from like 9% to 11%, 12%. But I was just curious to see where we are on that today. And generally this year, has that ratio remained relatively steady for most positions, excluding commercial property?
Brian Donald Haney: Yes. It's been relatively stable.
Joseph Thomas Tumillo: Okay. All right. Great. And then the other question is kind of just kind of furthering on the conversation regarding the competition for MGAs. It seems like some of your competitors have also joined that competition, even one mentioning being approached by acquisitions. I'm kind of curious to see where you guys think we are in the cycle with MGAs given kind of the loss ratios in the history they've been putting up. Like is this something that we kind of expect coming to ahead in the near term? I know it's in a way to predict it, but just kind of curious on your thoughts on this.
Michael Patrick Kehoe: Joe, this is Mike. We don't really have an opinion on that. You guys are in the business of analyzing companies and prognosticating. So we'll leave that in your capable hands.
Operator: Our next question comes from Mark Hughes from Truist.
Mark Douglas Hughes: The commercial property pricing, how would you describe it sequentially? I think last quarter and this quarter, you said down 20%. Does that mean stable sequentially?
Brian Donald Haney: Yes, I would say that's fair.
Mark Douglas Hughes: Very good. How about the current accident year trajectory? I think historically, you've started out the year, I think being a little more conservative, a little higher current accident year loss picks. Anything that you have seen through the 6 months that might interfere with that historical pattern of improvement in the back half?
Michael Patrick Kehoe: No, I don't think so. I mentioned earlier that we're -- obviously, we evaluate and analyze our loss development every quarter. And it was in response to a prior question, Mark, we continue to be cautious around the long-tail casualty. And to the extent that there's any shift in the good news coming out, it's largely driven by the short-tail business like property.
Mark Douglas Hughes: Mike, any more thoughts on this dynamic in Florida, where it seems like more business is going into the E&S market even as the pricing is softening up, why that would be? How long that might last? Is that something you've seen in prior cycles?
Michael Patrick Kehoe: I don't think we know -- we don't have anything definitive to offer. I would just maybe comment that E&S is reaching all-time highs not just in Florida, but all over the country in terms of its share of the overall premium dollar being placed. And so I think as people become more comfortable with E&S markets, I think the acceptance of the E&S paper has just increased. And it's just becoming more and more common. So it's a healthier way to manage an insurance company, especially when we have as dynamic a Tort system as we do in the United States. Certainly, Florida has seen a lot of shifts in Tort law over the years. And then, of course, on the property side, with reacting to natural catastrophes. There's been a significant uptick in cat activity in the last 5 or 7 years. and E&S companies with freedom of rate and form can react to that much more quickly than the standard companies can. So it just seems like it's a positive trend all the way around.
Mark Douglas Hughes: Very good. And then one more, if I can. Bryan Petrucelli, the cash flow is up a little bit through 6 months. What kind of top line growth do you need in order to keep the cash flow in positive -- well, it's obviously in positive territory, but increasing year-over-year. If you get 5% growth, will cash from operations still move up? Or is there some point at which is payout and losses starts to dampen that? Any general thought would be helpful.
Bryan Paul Petrucelli: I think that's a fair assumption, Mark.
Michael Patrick Kehoe: And I think one thing that's probably depressed it a little bit is paying out all the cat losses from the Palisades wildfire. But these are short-term short tail claims that get resolved quickly, especially when you have a limits loss. So I think that's probably depressed the growth rate there on a temporary basis.
Mark Douglas Hughes: So as long as top line is moving up then cash from operations should likewise move up?
Michael Patrick Kehoe: Yes. But it's always a function of your loss experience. And again, I think we're good underwriters. We're establishing very conservative loss reserves. So I'd be optimistic.
Operator: Our next question comes from Andrew Kligerman from TD Cowen.
Andrew Scott Kligerman: Can you hear me this time, so sorry for the bad line before.
Michael Patrick Kehoe: You're crystal clear.
Andrew Scott Kligerman: So I've been hearing so much about a lot of these start-ups in kind of small, mid E&S. What are you seeing in terms of that competition? Are you seeing a big pickup? And how is that affecting pricing?
Brian Donald Haney: I would say that the small start-up balance sheet business are not having a lot of effect just because they're dwarfed by the -- what the MGAs are doing. Those 6 E&S front-end companies I mentioned, right, something like $6 billion in gross written premium. So it would take a long time for the newer balance sheet businesses to make a debt in that.
Andrew Scott Kligerman: Interesting. And then following up on an earlier question about sessions and ceding off, I think the number is like 17%. And this quarter, I noticed that gross written was up 5%, but net written was up close to 7%. So over time, let's look out maybe 5, 10 years from now. Do you see that session declining to as low as 10%? Do you need to cede that much over time?
Michael Patrick Kehoe: We cede more premium on the property side, where we have significant natural catastrophe exposure and where the limits are higher. So what the ceding ratio looks down the -- looks like down the road is really going to be a function of the mix of business more than anything. I think on a homeowner's policy, the ceding ratio would be modest. If it's a hotel in the beach in Florida, it's going to be more significant.
Operator: Our next question comes from Pablo Singzon from JPMorgan.
Pablo Augusto Serrano Singzon: So you go through this in the 10-Q, but I was wondering if you could provide more commentary on the reserve releases you booked this quarter. I think in the 10-Q, you mentioned accident year 2020, 2024. But I was more curious about the balance of releases between casualty and property. I think in 1Q, you highlighted property more. I'm wondering if that's the case or if there's any material change this quarter?
Michael Patrick Kehoe: Wait, Pablo, you're asking for some commentary on the reserve movements in 2020 through 2024?
Pablo Augusto Serrano Singzon: No, no, no. What you booked this quarter, right? I think it was from accident years 2020 to 2024. But I was just curious about any color on the lines of business where you release the reserves, right? I think in 1Q, you highlighted property a bit more. But anyway, any sort of commentary on the release you booked this quarter?
Michael Patrick Kehoe: Yes. I would say this, that we have -- I think it's about a dozen statutory lines of business we write. This is our 16th year in business. I don't think we have any open claims for the first couple of years we're in business. But in general, there is a lot going on in our reserves every quarter. And so I don't think we want to get into any kind of granularity on a conference call because it's just -- it's too technical. But in broad strokes, I think it's important for the investors to understand, one, that we're being very conservative in setting aside reserves today to pay claims in the future, especially in an area -- in an era of heightened inflation, et cetera. And then the second thing is, in terms of broad movement in our reserves, we're being more conservative, so slower to release on the long-tail casualty lines where we think there's the greatest degree of uncertainty. And then to the extent that there's good news coming out of our results, it's disproportionately on a short tail business, which is property for us. 30% of our business is property. Those claims tend to be reported and resolved relatively quickly compared to the casualty business. So again, it just kind of reinforcing we're trying to be cautious in building a rock-solid balance sheet.
Operator: Our last question comes from Andrew Andersen from Jefferies.
Andrew E. Andersen: Just wanted to go back to the pricing commentary on casualty and the modestly positive. I guess that sounds a little low. It could be partly that you're in small commercial, but it could also be interpreted that you're just competing more to win business. So I guess, is that the case? And do you feel that you're more competitive pricing between the competition and the spread there is growing in your favor?
Michael Patrick Kehoe: Andrew, I think we said we saw in our book something similar to the Amwins index, which I think was pricing rate and exposure down about 2.4%. Our large commercial property deals, Southeastern wind accounts were down about 20%. Everything else is a little bit of a mix up or down slightly.
Brian Donald Haney: I would say getting back to my comment about the MGA front-end business. I think it's true that our casualty experience has been better than the industry. And so I think there's more of an opportunity for us. Or there's less of a need for us to increase rates than there is for the industry.
Operator: We have no further questions at this time. I'd like to turn the call back to Michael Kehoe for any closing remarks.
Michael Patrick Kehoe: Okay. Well, thank you, everybody, for listening, and we look forward to speaking with you again down the road a little bit.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.